Operator: Good day, ladies and gentlemen, and welcome to the Pacira Pharmaceuticals Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Susan Mesco, Head of the Investor Relations.
Susan Mesco: Thank you, Latoya; and good morning, everyone. Welcome to today's conference call to discuss our second quarter 2017 financial results. Joining me on today's call are Dave Stack, our Chairman and Chief Executive Officer; Rich Scranton, our Chief Scientific Officer; and Charlie Reinhart, our Chief Financial Officer. Before we start, let me remind you that today's call will include forward-looking statements based on current expectations. Such statements represent our judgment as of today and may involve risks and uncertainties. Please refer to our filings with the SEC, which are available from the SEC or our website for information concerning the risk factors that could affect the company. With that, I will now turn the call over to Dave Stack.
David M. Stack: Thanks, Susan. Good morning, everyone, and thanks for joining. The first half of 2017 was marked by strong progress. Recent highlights include another quarter of solid growth for EXPAREL. We're on track to deliver our full-year financial guidance. The PILLAR study in total knee arthroplasty, or TKA, recently published in The Journal of Arthroplasty, two additional Phase III studies in nerve block are complete and provided the necessary data for resubmission of our sNDA. We're seeing strong execution from our J&J partnership and our collaborations with Trinity Health and the American College of Surgeons are supporting robust educational initiatives around decreasing the use of opioids. With these and other growth initiatives, we are very bullish about the near-term and long-term prospects for EXPAREL. The EXPAREL growth strategy is built on three pillars. First, generating level one clinical evidence; second, driving education and awareness around the need for opioid sparing solutions to patients and healthcare providers; and third, forming strategic collaborations with partners who share our commitment to reducing the role of the operating room as the gateway to opioid use and abuse. Across all three of these pillars, our team is delivering results. I'll start with clinical data and the upcoming resubmission of our sNDA seeking expansion of the EXPAREL label to include nerve block. Our submission will include two highly successful Phase III efficacy studies, the original Phase III study of EXPAREL as a femoral nerve block for TKA with endpoints of 0.0001 for efficacy and 0.0016 for opioid sparing, and the more recent Phase III of EXPAREL as a brachial plexus block with a p-value of less than 0.0001 for efficacy and less than 0.0001 for opioid reduction in shoulder surgeries with 12% of the patients in the EXPAREL arm being opioid-free. We will also include a robust safety database and pharmacokinetic data through 120 hours from the Phase III brachial plexus block study and our second Phase III study in femoral nerve block. To further enhance our procedure data set, we also plan to include data from other investigator-initiated peripheral nerve block comparator studies in hand and wrist and foot and ankle. These studies are being conducted under a Pacira grant and data is on track for later this month. So the bottom line is with the data from all of these studies, we believe we have all the necessary information to satisfy the FDA requirements and resubmit our sNDA for nerve block around the end of the third quarter. Our clinical strategy also includes investing in a series of Phase IV studies to expand the use of EXPAREL and best practice infiltration technique across key surgery procedures. Last week, our PILLAR study was published online in The Journal of Arthroplasty. PILLAR evaluated EXPAREL versus an active bupivacaine comparator in patients undergoing total knee arthroplasty. This study proves, without question, that EXPAREL is significantly better than bupivacaine at reducing and even eliminating opioids, while successfully managing post-surgical pain. Patients in the EXPAREL group required 78% fewer opioids than the bupivacaine group through 48 hours. The EXPAREL group also achieved the statistically significant reduction in pain scores compared to the those who did not receive EXPAREL with a p-value of 0.0381. So in short, a significant reduction in opioids, while improving pain control in this very painful surgical procedure. The study's key secondary endpoints focused on opioid reduction. Here, we also saw impressive results. Similar to the 48-hour endpoint, patients in the EXPAREL arm recorded 78% fewer opioids through 72 hours with a p-value of 0.0108. 10% of the EXPAREL patients did not require any opioids after their surgery. This compares to zero patients in a bupivacaine group with a p-value of less than 0.01. EXPAREL is also significantly better than bupivacaine with respect to time to first opioid rescue medication with a p-value of 0.023. So across 16 study centers, all key metrics of the PILLAR study were highly successful in demonstrating the positive impact EXPAREL can make on post-surgical recovery, while limiting exposure to the potentially dangerous consequences of opioids. We believe publication in this top-tier journal will drive broader formulary support and help close the operating room gateway to the opioid epidemic. The timing of this publication could not be better as we roll out four J&J sales forces in real time. Our Phase IV clinical priorities also include studies in spinal fusion, C-section, colectomy, hip fracture and breast reconstruction. These studies, which mirror the design of the PILLAR PK study, remain on track for multiple key milestones in 2017 and 2018. We're enrolling patients in our spinal fusion study, and we are currently activating sites and screening patients for the C-section study. And as expected, we are seeing significant patient and physician interest. More than 1 million C-sections are performed annually in the United States and physicians and patients are eagerly seeking non-opioid alternatives for managing pain after birth. Site selection is also underway for our Phase IV colectomy study. This study will compare post-surgical opioid consumption for 48 hours following a four-point TAP block with either bupivacaine or EXPAREL plus bupivacaine. Secondary endpoints will compare efficacy, safety and health outcome assessments. Turning to the second pillar of our strategy, education and awareness. As you know, last year we launched our Choices Matter national patient education campaign. This robust initiative is intended to drive patient awareness of non-opioid options to control post-surgical pain and empower patients to proactively discuss these options with their surgeons. This campaign has been a great success with more than 560 million media impressions since launch. We are currently gearing up for a second major national media initiative. We will anchor the second phase around the national report on the impact of current opioid initiation in the hospital on the overall opioid epidemic from a societal and economic standpoint, including a volume analysis of opioid dispensing overts in (07:19) across specific orthopedic and soft tissue surgical models. Additional core elements will include a broadcast public service announcement across the U.S. to raise awareness to the risks of post-surgical opioids and the available non-opioid options; a social media effort encouraging patients and clinicians to take the pledge for one less pill and commit to discussing non-opioid options; online clinician and patient testimonial describing first-hand experience of the value of non-opioid post-surgical recovery, some of these stories are now live on our Plan Against Pain website, and national and local media tours that will include celebrities spokespeople with EXPAREL recovery experiences to share. We're also launching a collaboration with shatterproof.org and they will be partnering with us in the second stage of Choices Matter. Shatterproof is a national non-profit dedicated to ending the devastation that addiction causes families. They are the nation's premiere online resource for those affected by substance disorders operating expansive evidence-based information about addiction prevention treatment and recovery. Over the past three years, Shatterproof has worked with 75,000 families and their advocacy efforts have helped 14 states pass lifesaving legislation related to prescription drugs, addiction and overdose. Together we will advance our joint commitment to education and awareness about non-opioid options to decrease opioid use and abuse. Turning to our third and final pillar, which relates to strategic collaborations. I'll start with J&J. This partnership continues to advance extraordinarily well, and I'm pleased with the effort with to report that we have shifted to execution mode with the J&J sales and medical teams now actively supporting EXPAREL as part of their product offering. On the training front, we've seen tremendous amount of progress in a very short period of time. The J&J teams are significantly engaged and now being deployed across a range of customer opportunities. On an account level, we are now starting to see the J&J field force open doors to new hospital systems where we previously did not have any access. To remind you, J&J has four distinct sales channels and we have defined the core procedures, which will anchor each team. Joint reconstruction will focus on hip and knee replacement. Spine will target lumbar fusion. Trauma will focus on hip fracture and eventually expand to ankle and long bone fractures. And for sports medicine, we'll start with rotator cuff and then move into total shoulder and ACL repair. Of course, our primary current business is in drug reconstruction and last week we rolled out the PILLAR total knee manuscript and promotional materials to the J&J team, as well as to the Pacira teams. This is an exciting time with new data and significant new resources to work with healthcare providers to improve patient care and hospital economics. Spine has solidified itself as a most compelling near-term opportunity. This J&J field team is highly technical and technique-focused, so they are an ideal fit to help broaden the use of EXPAREL and spine procedures. We are seeing immediate interest in EXPAREL from key spine surgeons around the country. In parallel, trauma is emerging as a powerful future outlet for growth. This will be supported by defined best practice protocol and hip fracture with data from an investigator-initiated study expected to be published at a medical meeting early next year. Together we are also executing on a broad education strategy for EXPAREL integrating the pillar results in virtual reality training tools, as well as best practice surgical technique and spinal fusion hip fracture and shoulder arthroplasty surgery into the J&J world-class educational programs providing our customers and our representatives live video educational experiences. We're also building a comprehensive library of training videos and case reports targeting key procedures such as knee, hip and spine, which are featured on the DePuy Synthes Institute website. And all of our key opinion leaders are now integrated into the Johnson & Johnson educational programs. J&J is rolling out a branded national marketing campaign calling on physicians to help combat the opioid epidemic in clinical, societal and economic burdens associated with these dangerous medications. Last month, J&J began running EXPAREL ads on Orthopedics Today. And in the coming months, they plan to expand the campaign with patient-focused marketing materials. Finally, we are also now starting to tap into the broader capabilities within Johnson & Johnson's commercial organization, such as their National Accounts group, which is solely focused on hospital relationships; their CareAdvantage Orthopedic Episode of Care program, which is helping their customers deliver value-based data-driven care; and the upper management team who is joining our charge to discuss partnership opportunities with hospital C-suite executives around system-wide opioid-sparing strategy. All of this rapid progress underscores the commitment from Pacira and our partner, Johnson & Johnson, to provide as many patients and healthcare providers as possible a non-opioid solution to manage post-surgical pain. Conquering the opioid epidemic is a considerable interest to healthcare systems, physician groups, payers and employers. Here we are also seeing terrific progress both within existing collaborations as well as a great deal of inbound interest around new alliances with healthcare providers and payers. We believe recent interest reflects the meaningful progress taking place at Trinity Health as well as The American College of Surgeons. To share some insights into these two unique partnerships, I'd like to introduce our Chief Scientific Officer, Dr. Rich Scranton. Rich directs all of our medical and health science activities and plays a lead medical role in our collaborative initiatives with the healthcare community. Rich?
Richard E. Scranton: Thanks, Dave, and good morning to all joining today's call. I'll start with Trinity Health. Trinity's one of the largest multi-institutional Catholic healthcare systems in the nation, serving communities that include more than 30 million people in 22 states. They are dedicated to building a people-centered system in which the people and communities Trinity serves are at the center of every behavior, action and decision. This drives Trinity's passion to reduce opioid harm and addiction. They recently published their Public Policy Physician Statement on opioids entitled Reducing Opioid Harm – Promoting People Centered Care, which forms a framework for a number of the collaborative educational initiatives throughout the Trinity System including an educational forum in the fall that will feature national experts and public officials; substance abuse electronic medical alerts that will be implemented across Trinity to add an increased level of diligence and safety for patients who may be susceptible to opioid abuse, misuse, or addiction; an educational series for residents on the appropriate use of opioids and the provider's role in the midst of the opioid crisis; and a broad system-wide awareness campaign focusing on reducing opioid harm that will target pharmacies, nurses, physicians and quality administrators. Essentially, Trinity is creating and fostering a system-wide core competency around opioid minimization strategies. The American College of Surgeons is also supporting a comprehensive clinician and patient education to reduce avoidable exposure to opioids, their side effects and long-term health risks. With more than 80,000 members, The American College of Surgeons is the world's largest surgical organization. Their July bulletin features an article entitled, The Opioid Epidemic: What Can Surgeons Do About It? This important report is a call to action to the surgical community and highlights the responsibility to understand and mitigate the risks of opioids. The American College of Surgeons Board of Governors also recently completed their official policy statement on prescription opioids and this will be published online in the August issue of their bulletin. As Dave mentioned, these unique and successful collaborations are prompting additional collaborative discussions with other healthcare systems, as well as payers and even employers. Payers are now recognizing the value of EXPAREL and the important role it can play in improving patient care. They are seeking educational materials around opioid-sparing options and some are also interested in partnering with Pacira to establish specific mechanisms within their system to enforce opioid-sparing strategies. All in all, we're very pleased with the interests we're seeing from key organizations interested in partnering with Pacira to make a meaningful difference in addressing the opioid epidemic. Moreover, as you can tell, we've seen real action from these organizations with a commitment to align on a number of initiatives to reduce post-surgical opioid use as quickly as possible. With that, I'll turn it back over to Dave.
David M. Stack: Thanks, Rich. So overall, Pacira is in great shape for a strong finish to 2017 and continued growth beyond. We look forward to delivering on a number of key milestones for the remainder of this year, including a full-year financial guidance, including EXPAREL sales of $290 million to $310 million, filing our sNDA with the FDA to expand EXPAREL label to include nerve block, enrolling the spine and C-section studies, launching our studies in colorectal and hip fracture and breast reconstruction procedures, broadening national education awareness about non-opioid initiatives, and forming new collaborations with providers and payers who share our passion for improving patient care through opioid minimization strategies. And with that, I'd like to turn the call over to our CFO, Charlie Reinhart, to walk through our second quarter financial results.
Charles A. Reinhart III: Thank you, Dave; and good morning, everyone. Financially, Pacira continues to be in great shape. Second quarter EXPAREL sales grew 6%, and we're confident that growth will accelerate in the second half of the year and we will achieve our full-year guidance of $290 million to $310 million. Before I walk through the second quarter results, I'd like to remind you that we will be discussing non-GAAP financial measures this morning. A description of these metrics along with the reconciliation to GAAP can be found in the press release we issued this morning. Net product sales of EXPAREL were $69.8 million for the second quarter of 2017, compared to $65.8 million last year. As discussed on prior calls, we believe a number of key value drivers such as our J&J partnership, the publication of the PILLAR study in The Journal of Arthroplasty and the educational initiatives underway at Trinity Health and The American College of Surgeons will start to take hold in the second half of 2017 and become the foundation for sustained growth of EXPAREL. Our non-GAAP gross margins for the second quarter of 2017 was 69%, consistent with non-GAAP gross margins for the same period last year. Overall, we continue to expect our full-year non-GAAP gross margin to be in line with our guidance of roughly 70%. Non-GAAP research and development expenses increased to $18.2 million for the second quarter of 2017 versus $8.3 million for the second quarter last year. The increase in R&D was largely driven by costs related to the two Phase III nerve block studies, as well as our Phase IV infiltration studies in spine and C-section surgeries. We expect R&D spend to decline in the second half of this year now that our two nerve block studies are complete. Our non-GAAP selling, general and administrative expenses were $34.2 million in the second quarter of 2017, compared to $31.4 million for the same period last year. This increase was largely attributable to an increase in the number of commercial personnel versus the second quarter of 2016. Investments and educational initiatives around EXPAREL best practice technique in key surgical procedures and commission expense related to our J&J partnership. During the second quarter, we recorded a $5 million nonrecurring charge. $500,000 of which was included in cost of goods sold related to the discontinuation of DepoCyt production. As previously disclosed, this was due to persistent technical issues specific to DepoCyt. The bottom line was non-GAAP net loss of $4.4 million or $0.11 per diluted share for the second quarter of 2017 compared with non-GAAP net income of $7.9 million or $0.19 per diluted share for the second quarter of 2016. Lastly, we are well-capitalized and ended the quarter with roughly $382 million in cash, cash equivalents and investments. Looking ahead, we remain on track to deliver our full-year financial guidance that we provided in March. Namely, EXPAREL net product sales of $290 million to $310 million. Non-GAAP gross margins of approximately 70%, non-GAAP R&D expense of $50 million to $60 million, non-GAAP SG&A expense of $145 million to $155 million and stock-based compensation expense of $30 million to $35 million. With that, I will now turn the call back over to the operator to begin our Q&A session. Operator?
Operator: Thank you. And the first question is from Randall Stanicky of RBC Capital Markets. Your line is open.
Randall S. Stanicky: Great. Thanks. Dave, just two questions for you. As we think about the J&J relationship, you talked about being in execution mode. We look at the midpoint of guidance, it implies close to a 19% ramp over the first half. Can you just help us understand the timing? Should we start to see the pickup in the third quarter? And maybe just set expectations for us and any early feedback. And then, I have one quick follow-up after that.
David M. Stack: Yeah. Sure, Randall. Thank you for the questions. We are deployed now. Not fully deployed, but we do see a significant interest in the marketplace. The project, or the relationship, was largely built upon reconstruction and we see immediate impact from PILLAR. It's only been out for a week and we've had a number of very positive responses already from health systems and from folks who were waiting for that data to come to be able to increase their ability to access EXPAREL. I think a bit of a boost that was not entirely anticipated as we put the project together was the immediate response from spine surgeons. These are all small, Randall, but we think really indicative of where we're going. We've had projects – or we've had programs where we introduce spine surgeons to EXPAREL through our J&J partnership and we've had use in the next 48 hours after they left those educational activities. So that's the kind of response we see when we have existing relationships at open doors to folks who are intensely interested in opioids, but where we were never able to get with the size of our commercial organization. So we do see an immediate effect and we do see that ramping over the second half of the year. And also I have to remind everybody that traditionally a third of our sales have been in the fourth quarter anyway. So we see a strong ramp into that.
Randall S. Stanicky: If we see this relationship work out, why wouldn't you pursue a similar type of relationship on the oral surgery side with a dental company that can help you drive penetration into that market? And maybe just can you just comment – last quarter, it sounded like you were a little bit more focused on that opportunity. Where are you, in general, with that market?
David M. Stack: It's been difficult for us to get out with our own resources just because of limitations on the time that our reps spend with folks. We are addressing the oral surgery market. It will largely be through some payer relationships, and we expect to announce some of those over the next couple of weeks. Your first question is an interesting one, about whether we would do something similar with oral maxillofacial. We don't have anybody that I know of, at least, that fits the bill that would be able to help us to the extent that it would be a good return on investment for our shareholders, but we're always looking, Randall. And we're open-minded to any opportunity that would increase our opportunity to fulfill our mission of making an opioid alternative available to as many patients as possible. But we may have something that is sort of what you're talking about, but very different than what you're talking about, to announce in the near future.
Randall S. Stanicky: Okay. That's great. Thanks, Dave.
David M. Stack: Okay. Thanks, Randall.
Operator: Thank you. The next question is from David Amsellem of Piper Jaffray. Your line is open.
David A. Amsellem: Thanks. I just had a couple. First, can you just elaborate on timelines for the data readouts for the various Phase IV studies that you talked about, so the colectomy study, particularly, interested in. Also when realistically we could see data from the spinal fusion study. So maybe just give us a road map there in terms of timeline. And then, secondly, [Technical Difficulty] (24:33) business development with some cash that you may have to deploy. Can you give us your latest thoughts on how you're thinking about BD and the kind of assets you're looking for, i.e., commercial stage versus Phase III-ready, or NDA-ready, or even earlier stage assets? Thanks.
David M. Stack: Thanks, David. First question, I'll try to restate the questions. So we are currently enrolling patients in spine. We've made a couple of tweaks to the protocol, David, which we think will be helpful, and we also have a significant help coming from our J&J partnership in terms of some newer sites. I can't tell you – these are clinical trials and enrollment is always a tricky thing, but we expect that we will have data right around the end of the year or the beginning of next year for the spine trial. C-section is about to enroll its first patient. And there is a great deal of interest. As a matter of fact, we have more sites that we want to get in that study than we can handle. So I expect that that will roll very quickly and you will see data probably around the same timeframe. Our expectation is the end of the year or early next year. But again, it's clinical research, so it's hard to tell you within a couple weeks exactly when we're going to have a dataset. The four-point TAP colectomy study for colorectal, we're just enrolling sites now, David. So my guess is end of first quarter, sometime in there. There is some limitation to our resources enrolling three of these trials at the same time. And breast recon, you've probably seen, there's a couple of papers that have come out on breast recon just in the last couple of months. And so there's also a building amount of clinical interest in the medical community about getting that trial up and running as quickly as possible. So I think you'll see all of these as quick as we can get them enrolled. They're very much the same design as PILLAR. And so we're highly confident that we'll be able to improve patient care through these clinical programs. The assets that we're looking for in terms of our BD response, mostly, David, we're interested in things that are of interest to orthopedic docs and soft tissue docs. So we're looking really at things that our current customers find interesting. So surgeons and anesthesiologists generally are what's guiding our activity. Now, that casts a pretty broad net. It's not just pain. We're interested in products for reconstruction. There's a lot of things in the plastic space that fit into that monitor. So we've got a number of things that we're looking at aggressively and we'll see if we can close one of these deals here, but you're right. We have cash. We've got a number of things that we've got our eye on, but they're all things where we believe there's a high need for education and medical training that allows us to use all of the resources we have to get in and train aggressively. And they're all things that are of high interest to either surgeons or anesthesiologists. So that we can convince ourselves that our cost of sales is low. And then, lastly, I would say, we're also making good progress on rest of world and expect that sometime in the next quarter that we would be able to announce at least one partnership around EXPAREL rest of world, too. So, sorry, David, that wasn't a direct question. But it was something I didn't put in the script.
David A. Amsellem: Okay. That's helpful. Thanks.
David M. Stack: Thanks.
Operator: Thank you. The next question is from Douglas Tsao of Barclays. Your line is open.
Douglas Tsao: Hi. Good morning. Thanks for the questions. Just, obviously, the ramp that you're expecting in the second half of the year is pretty significant. And obviously Dave, as you noted, the fourth quarter is typically pretty strong. Just curious what your internal expectations and what you're seeing just to level set people to have realistic expectations into the third quarter, which is obviously fairly seasonal. But given some of the momentum that you're reporting, should we expect to see some sort of sequential progress in the third quarter versus the second quarter?
David M. Stack: Yeah, Doug. I think it won't be as dramatic as we'll see in the third quarter as all of these things gain traction. But we do expect to see some traction in the third quarter as we benefit from recent information. This PILLAR study is a big deal in a clinical community. And we've got patients – we've been operating with folks or speaking with folks who are interested in opioid-free. And there have been no opportunities to provide opioid-free surgery until PILLAR, which was 10% opioid-free in knees and the 327 trial which was a 12% opioid-free in shoulder surgeries. I'm not sure that the financial world understands the significance of that to the clinical world. And so we think this is a very big deal, and a lot of these things will be taken on very quickly. In addition to hospital interest and clinician interest, we have payer groups – self-insured payers and labor unions, who are very interested in having their constituents have an opportunity to have minimized or no opioid free surgery. And so you see the momentum building very quickly. It'll never go as fast as the expectations that the financial community has because this is – it's operating. it's changing the way medicine's practiced. But you see very strong momentum if you're here and we now have the manpower to execute it in the marketplace, especially, in spine and trauma and places where we just weren't even going before.
Douglas Tsao: And then, Dave, maybe it'd be helpful if you give an update. Obviously, now we're in the midst of the J&J rollout. In terms of the Pacira salesforce, are they focused exclusively now on soft tissue? And then, within soft tissue, what's the focus in terms of procedures? Or is it continuing to plug away on the access side?
David M. Stack: No. Thanks, Doug. Good questions. So no, they haven't pivoted strictly to soft tissue. We are dedicated to making EXPAREL available to as many patients as possible. And so to the extent possible and where J&J is fully deployed, we still have meetings where we have relationships and they have relationships. We still have places where we do the training once they've opened the door. So it isn't and probably never will be – there is no black line here that says we're not going to go address an opportunity to help our J&J partners, but it is a focus where we will transfer as much of this operational resource requirements to them as possible. On the soft tissue side, the major focus, Doug, is around TAP, for a couple of reasons. One is it's a very hot area, and there's a tremendous amount of interest in being able to do TAP procedures. There've been a number of papers published on EXPAREL and the advantages of EXPAREL, not only in colorectal surgery, but in recon surgeries, several kinds of recon surgeries actually. And just to remind everybody, our C-section trial, and our colorectal trial are both TAP procedures. And just as a matter of record, we do have several opioid-free C-section data sets in house now. So you're going to see publications come out over the near term while we're also investigating these clinical trials. So the field force is largely looking at the female health, if you will. And if you think about C-sections, breast reconstruction, and the ovarian cancer trial that's being done at MD Anderson, where the primary endpoint is opioid-free. You can see that we're preparing a bundle, if you will, of clinical opportunities to work inside women's health, where there's a great desire to reduce opioids because the last thing you want to do in a girl that has cancer is down-regulate her immune system through the use of opioids. I don't know – I'm trying to make the answer succinct, Doug, if that's not enough – I'm sure we'll talk to you later anyway, but that's the short answer.
Douglas Tsao: Okay. Great. Thank you.
David M. Stack: Okay. Thanks, man.
Operator: Thank you. The next question is from Corey Davis of Wainwright. Your line is open.
Corey Davis: Thanks very much. This might be a moot point but if this acceleration doesn't happen in the second half of this year, internally, have you thought about that? And are there any contingency plans for what you might do in terms of increasing spending in promotion? Or might you actually cut back in spending to just say, you know what, it's not working, and therefore, we want to maximize profitability on this? Or have you not really entertained any changes in either direction?
David M. Stack: Corey, there's so many positive things going right now with payers and labor unions and very large self-insured organizations, as well as big health systems who are reaching out to us now that – honestly it would be a silly time to be utilizing our resources to figure out those things. We're barely able to keep up with the inbound requests for meetings with us in order to address major opportunities that we could have only dreamt about a year-and-a-half or two years ago. So I think if we have to do that, we'll do it when the time comes. But right now, I'll use an old Irish expression, I'm sort of ass over tea kettle to try to keep up with all the inbound phone calls and I haven't taken the time to look at what might happen if nothing works that we're doing.
Corey Davis: Okay. Good. And then, just secondly, your manufacturing expansion into the UK, are there any updates there in terms of timing or still the same as in the past? Or anything you can add there would be great.
David M. Stack: Yeah. No, thanks, Corey. Yeah, no, pretty much the same. We are making validation batches and fulfilling all of the regulatory requirements to open that as a commercial facility. We expect to have commercial material from them some time in the middle of next year. And the 200 liter, which is a significant help to us in terms of gross margins, et cetera, that extends the backside from 45 liters to 200 liters, the skid and all of the hardware is there. All of the systems validation and all the rest of the stuff that has to happen before you can start making a sterile product is in progress. So probably quiet on the topic, Corey, because there's not much to say. It's just getting all the work done now.
Corey Davis: Okay. And then lastly, for Charlie, can you remind us how much you have in the NOLs and when, if ever, you might expect to start paying tax in the out years? Any guidance you can offer in terms of the tax rate would be helpful.
Charles A. Reinhart III: So the NOLs are roughly $330 million, I believe. And last projection in our view; that took us out into probably the second half of 2020 before we actually started to pay cash tax. Obviously, that's heavily predicated on what you think 2018, 2019 and 2020 sales look like. But we're reasonably bullish on those years based on everything you know we've got going on here so. We do think we'll end up being a cash tax payer, and at that point, it will depend on what the U.S. corporate tax rate is. If you tell me what that's going to be in 2020, I'll tell you what our tax rate is.
Corey Davis: Okay. Thanks very much, guys.
Charles A. Reinhart III: Thanks, Corey.
Operator: Thank you. The next question is from Dewey Steadman of Canaccord. Your line is open.
Dewey Steadman: Hi. Thanks for taking my question. On DPS, obviously, it's tracking fairly well, with getting physicians trained and interested in the product. Do you think as DPS launches new hardware over time, that that would actually help generate acceptance as doctors coming in for training on the new hardware alongside EXPAREL?
David M. Stack: Yeah. And maybe not exactly the way you've asked the question. But as we have additional educational opportunities to bring people into their training centers, whether – no matter what that opportunity is – whether it's new hardware or anything else in the continuum of care, the greater their interest is in attending the educational sessions, the greater the opportunity to present the care continuum and EXPAREL is part of all of those. So yes. Then the same thing, by the way, as we get into spine and into trauma, et cetera, we're getting into places where folks haven't really thought through the opportunity for opioid-free surgery because there was no option and so you're seeing the same kind of activity there.
Dewey Steadman: Outside of new products, what really is driving docs to come in for training at DPS?
David M. Stack: It's the continuum of care. It's all about ACOs and about affordable care. It's all about how you treat patients cost effectively. It's the kind of total thought process that brings a clinician into the J&J family around all of the assets that are available. There are things that happen in a – they are able to provide – if a patient has a BMI, you can go into a weight management program. If a patient is a smoker, you can go into a smoking cessation program. There are a number of opportunities here from an asset base that are available to clinicians through the Johnson & Johnson training programs that we could – we didn't even – there was no chance that Pacira was ever going to get into any of those things. So there are regular updates. And even the PILLAR trial is a great example, right? How much of the product do you put in all of the different body compartments, et cetera. So all of that training – this is not exactly an answer to your question, but being able to train on virtual cadavers and being able to train on virtual models is really interesting to especially the younger physicians. So there are – folks go into their training programs regularly not just because there's something new. These are things that are attended on an annual basis.
Dewey Steadman: Thanks. And my final question just on the competitive landscape. I guess, there's a couple of competitors that could reach market with similar products or similar theories of opioid reduction over the next several years probably – several years out at the earliest. But how do you view that? And then, is it something where the market share and the market penetration is at a point right now where more voices lift all votes? Or do you see that as a threat to Pacira's dominance in the space?
David M. Stack: Yeah. I don't see it as a threat, so I can get that out of the way. From our – we've had all of those products in our hands and we've used them. And I think there's severe limitations either around volume and – if you see the way we're going here, 120 mL was the total volume in the PILLAR trial. In the TAP trials, you'll see that we're using either 80 mL or 100 mL. That is a severe limitation of any delivery technology where, if you add anything to them, whether they're polyvinyls, or whatever they are, they all fall apart. And so there's a severe limitation there about how much volume you need to cover the surgical wound and whether you're going to be able to use those products at all. Most of those products actually have already been described as installations, so you will not put the drug in close contract with the sensory nerves to provide pain control. You will put these products in the wound, in the median of the wound, and then, the drug has to come off the delivery technology and find its way to the sensory nerves. And so there's a number of deficits in that. And then, I think probably the biggest thing of all, at least, from the stuff that we've seen, is the base technologies themselves are neurotoxic and myelotoxic. So it'll be virtually impossible, at least, in the world that we live in, to expect that an anesthesiologist would put anything that had any neurotoxic potential at all in close proximity to a nerve; not only for a nerve block, but even for an infiltration. And so I don't see anything that causes us any great concern. And I would agree with you that all of the timelines that have been promised have been totally wrong. And so I think you might want to add in a long term or ever.
Dewey Steadman: Thanks. Appreciate your time.
David M. Stack: Thanks.
Operator: Thank you. The next question is from Gary Nachman of BMO Capital Markets. Your line is open.
Gary Nachman: Hi. Good morning. Dave, are you still adding new hospitals every quarter? Or is most of the growth still coming from going deeper in the existing accounts? How might that change with J&J on board? And then, I'm curious, what's the current split between ortho and soft tissue? And will all the acceleration really be on the ortho side?
David M. Stack: Thanks, Gary. We are seeing – actually, we are seeing accelerated new accounts. Many of them are ACLs – or ACOs, I'm sorry – or AFCs, I'm sorry. So we're seeing a number of new accounts on a monthly and a quarterly basis actually accelerating. The new accounts in hospitals, Gary, we're sort of running out of hospitals to add. I think J&J will help us there, but I don't think it's going to be dramatic because, like I said, there aren't that many hospitals left where there isn't some access to EXPAREL. I think the big growth is going to be – well, J&J is going to help us for sure. I should answer your question specifically, but also start to think about a different model where, through payers and insurers, care is directed to hospitals where EXPAREL is available and folks have been trained on EXPAREL. And so there are a number of ways to get at new business here. One is in the traditional way of talking to doctors and talking to hospitals about availability. The other is to talk directly to the payers and to the employers, and have them mandate that their patients receive low and no opioid treatment options. And I think that will, in addition to providing more revenue, will get at the leverage that we've been trying to figure out how to exert so that everybody will have EXPAREL, especially when we get the nerve block indication, Gary. I think it's going to be very difficult to operate in this environment without us, actually. I'll give you one example. Think about the shoulder study, over 1 million rotator, cuff and shoulder arthroplasties done in the United States last year. You can provide four-and-a-half days of pain control with a single $150 injection of EXPAREL pre-surgery and get that patient out of the hospital and into an ambulatory care center and home the same day as their surgery. If you're not willing to put EXPAREL on formulary, and you can't achieve that endpoint, I don't know how you're going to be in the business.
Gary Nachman: Okay. And then, just the split, ortho and soft tissue, and if most of the acceleration, I'm assuming, will come from the ortho side – you mentioned soft tissue, the salesforce really hasn't been, I guess, able to focus on that as much recently?
David M. Stack: Yeah, no, that isn't what I meant to say. We have a number of good things going in soft tissue as well. We've got soft tissue trials going in major medical centers around ovarian cancer and around breast reconstruction, around C-section. So we're doing a formal study in TAP. And we're doing investigator grant studies in C-section by infiltration at the same time. So we can train on all of the various options. There's a lot written on TAP, and we still have a number of programs going in TAP, Gary. I can't answer – I wish I could answer your question with more specificity. It is clear that if we've got a couple thousand J&J reps on the orthopedic side of our business and we got a couple hundred on the soft tissue side of our business with Pacira that you would expect that there will be a imbalance of new business against the orthopedic side especially with PILLAR, and hip reconstruction, and spine and all the other trials that we're giving them. And I'll give you my cop out, and I'll say that before I even tell you what I'm going to say. When we went from ICD-9 to ICD-10, the data that we get is largely useless. And so the reason that we don't have, on our website, a specific breakdown of orthopedic versus soft tissue, is so many of the procedures have been reported by the providers as other, that I can't tell you that I have actually know, unless I take other and split it down the middle and then it looks a lot like it used to, a slight imbalance in favor of ortho.
Gary Nachman: Okay. Is it close to 50/50? That's what you used to say.
David M. Stack: Yeah. Yeah. Oh, yeah, I think so, Gary. It's probably leaning on 55% ortho.
Gary Nachman: Okay. And then on nerve block, I just want to be clear. Do you plan on filing just for the 10 mL dose or also the 20 mL? And I'm assuming it would be for a broad label. But I'm just wondering if femoral was a 20 mL and shoulder a 10 mL, how would the FDA be comfortable having a broad label for that?
David M. Stack: Yeah. It's no different than what we do today, Gary. So the answer is it will be a broad label. It will be 10 mL for upper, because that's all we studied. So that's pretty much defined, right? And lower and in a number of large nerve indications, we believe, that 20 mL is going to be the appropriate dose. So we will file for 10 mL and 20 mL. And then in the section of the package insert, it's section 14 in the current package insert if anybody wants to go look at it, in the actual studies where you described the clinical studies that led to the application, we will provide more granularity on when we used the 10 mL and what the results were and when we used the 20 mL and what the results were. But, again, I'll just remind everybody that when you need a short – it all depends on what the clinical objectives are. If you need more immediate pain control because of the pain profile and you're not all that concerned about four days, you can use 133 mL and you're going to get a couple three days of pain control and you can add more bupivacaine upfront. If you want to have opioid-free, or if your desire is to have three days or four days of pain control, then you have to use 266 mL because you need that number of lipid particles to release the bupivacaine over time. So it's really not all that mysterious to the clinicians. It is going to be – we're going to have to be careful how we put the dossier together, but I think the desire of the medical community to have both is pretty clear. And when 10 mL works, we love the fact that 10 mL works, right? Because that's best for everybody.
Gary Nachman: Right. Okay. And then, last question, just what's happening with the early stage pipeline, DepoMeloxicam, DepoTXA? You didn't mention that in your prepared remarks and I thought some data was supposed to come, maybe by the end of this year.
David M. Stack: Yeah. We're still working on both of them, Gary. We're trying to focus on a few things because the feedback we get is that we cover too many things in our commentary. So TXA is moving. We're moving to study in a more select patient population of cardiac patients. There's some evidence that we ought to be focusing on our ability to stabilize clots in these post-surgical procedures in patients who are heparinized or who are on some type of blood thinning opportunity. And so we'll look at that. We will have Phase I data and then we'll repeat a trial looking at some cardiac patients. With meloxicam, we've had a slowdown in our ability to make it, because of – if you remember back on the IVRA, when we had the assay issue that caused us to have an issue with the dating, we kept that skid that was intended to make meloxicam on. We kept it in production for EXPAREL to make sure we didn't run out of EXPAREL. So we've delayed meloxicam while we figure out – and getting over (50:07) will help that a lot as well. But we'll make a batch of meloxicam here in the very near future and we'll put the DepoMeloxicam program back on track. But that was why there was a delay. The assay issue that we had caused us to throw away a bunch of inventory and we just had to replace that inventory before we were comfortable shutting that skid down.
Gary Nachman: Okay. It sounds like we won't have data on those until next year probably.
David M. Stack: I think you'll have some TXA data this year. You'll have more cardiac-specific TXA data as we get into the early part of next year. And I think that's a fair comment for meloxicam.
Gary Nachman: Okay. All right. Thank you.
David M. Stack: Thanks.
Operator: Thank you. The next question is from Irina Koffler of Mizuho. Your line is open.
Irina Rivkind Koffler: Hi. Thanks for taking my question. Can you tell us some good medical conferences where we can go and where maybe you'll be presenting your TKA data in more detail as well as the discharge readiness data and potentially nerve block? That's the first question. And then the second question I had is about clarifying the opioid utilization in the PILLAR study. I was just trying to back into total opioid use, and it looks like there's about 70 patients in EXPAREL arm. And of that arm, almost 80% of them used somewhere between 20 milligrams to 220 milligrams of opioids. So then I don't understand why in your total opioid use, you report a lower number of 18 milligrams on average. And I believe it's because you're just looking at patients that were responders, but it's just not clear why there's a discrepancy in the data. Thanks.
David M. Stack: Yeah. I'll have to get back to you with the answer to that question, Irina. I'm not prepared actually to give you a reasoned response to that. I'm sure we have one. It's just that I'm not the guy and we'll get back to you with that. On the first, PILLAR will be a trilogy of publications. It's not just a publication that's out. And so you will see significantly more data of the secondary endpoints and of this opioid problem or opioid issue that you just raised. I wasn't even aware of frankly. And so there will be additional PILLAR publications that will also come out. You will see the PILLAR data as – let me just make sure I get this right. So you'll see the PILLAR shoulder data – I'll tell you what. I'm going to turn it over to Rich to make sure I don't get these things screwed up.
Richard E. Scranton: Yeah. So this is Rich Scranton. The PILLAR data, all the secondaries, we did meet the abstract deadline. And those are your chief secondaries that you're talking about. And some economic endpoints will be presented, we hope, at ACOs if it gets accepted. That's in the fall meeting. So that's critical on that. And they're all moving towards publication as well in parallel. As far as the nerve block, there are some opportunities coming up very quickly. There are some late breakers for NYSORA, which is also in the fall, in September in New York. And then the PGA Meeting is another anesthesia meeting that's in New York in December. We're going to try our best to make both those deadlines for an abstract submission, primarily on the shoulder study. Again, all these are depending upon us getting accepted to present at those meetings.
Irina Rivkind Koffler: Okay. Thank you.
David M. Stack: And, Irina, Jim Jones, who is our CMO, is here and understands your question better than I did.
Irina Rivkind Koffler: Okay. Great.
James B. Jones: Yeah. I can answer that real briefly. The figure you're looking at from the publication was just a frequency distribution that just is – try to give a pictorial diagram of the distribution. That middle bar where it goes from 20 to 220 just is accounting for the number of patients in brackets. The majority of those patients are on the lower end. And if you look at the top of that 18% had less than 20 and that drove the mean down. This is just accounting for all of the patients to give the reader an understanding of where all the patients fell on the scheme of things. It just talked about the disproportionate distribution of the patients where more patients taking EXPAREL had zero to very few opioids. So it was not a normal distribution. That's what that is meant to describe to the reader.
Irina Rivkind Koffler: Okay. Got it. And then – but the other number was calculated off of responders only? I believe there was something in the manuscript on that. Only if the vast pain intensity scores were significant – the difference – the comparison.
Richard E. Scranton: No. Again, it's Rich Scranton. Again, there was not a responder analysis on there as far as that goes. The opioid consumption was across the entire population. And what you're seeing there is – again, I'll reiterate what Jim said is that the way it was done, there is a significant proportion of patients who took little to no opioids on the EXPAREL arm. On the placebo arm, there was a higher proportion of people that took a very large amount of opioids. And that's why, when you do that analysis, we had to do the appropriate analysis account for that distribution of data. So you have two extremes going on. Both, I would argue, favor the benefit the EXPAREL was providing.
Irina Rivkind Koffler: Okay. Got it. Thank you.
David M. Stack: Yeah. And if you need follow-up on that, Irina, we can – both these guys can be available whenever you want to go into that at some length.
Irina Rivkind Koffler: Okay. Great.
Operator: Thank you. And our last question comes from the line of Boris Peaker of Cowen. Your line is now open.
Boris Peaker: Great. Thanks for squeezing me in. I just have a question on the nerve block study. And specifically, are you collecting data that would enable you to calculate the kind of pharmacoeconomic benefit into nerve block setting? And if not, do you have plans for perhaps a separate pharmacoeconomic study in a nerve block setting?
David M. Stack: Yeah. It's very difficult to collect pharmacoeconomic data in a protocol-driven trial, Boris. Actually, it's almost meaningless. What you can collect is time to discharge ready and the kinds of functional outcomes that payers and employers are looking for. But generally, you have to have another opportunity to look at the opportunity to move patients to an outpatient environment. That's why time to discharge ready is appropriate, for example. So what we do measure is not only functional outcomes, but discharge ready at 12 hours and 24 hours so that we can predict for folks what the opportunity will be to move those patients from an inpatient environment to an outpatient environment. We follow these patients out to day 10, so we can report on pain management and functional opportunities out to day 10. We look at OBAS, for example, if you know that tool, that really measures opioid and lifestyle in one functional number. But it is really hard to get into the kinds of things that I'm sure you're talking about in terms of pharmacoeconomic outcomes. And so we will do some additional Phase IV work and we will do a lot of work with the payers and looking at what's important to them in terms of how we move these patients, largely, with a regional nerve block, or a peripheral nerve block, the ability to not only control pain, but do it in a different environment. That's the big win here for EXPAREL.
Boris Peaker: And do you have a sense of a timeline for maybe some of this Phase IV work?
David M. Stack: Yeah. We'll submit the sNDA and then we'll start working on some of the more market-directed activities almost immediately, while we're going through the review process. And some of the other stuff that's coming, some of the investigator stuff, Boris, does start to get at the issue that you're raising. But again, we've already agreed with the FDA that that is of a quality that will be included in the NDA. Remember that one of the FDA requests was that we provide information on a number of procedures that will allow them to provide broad guidance. So that's really what we had to do as part of this – part of the program, right? Once this is done and the sNDA is written then we can start to talk about how we address the market needs.
Boris Peaker: Great. Thank you very much for taking my question.
David M. Stack: Okay. Thanks.
Operator: Thank you. I would now like to turn the call back over to David Stack for closing remarks.
David M. Stack: Thanks, Latoya. Thank you for your questions in time this morning, folks. We're looking forward to providing additional updates in the future. Next up for us is the Wedbush Conference in New York followed by the Wells Fargo Conference in Boston. We look forward to seeing you soon. Thanks.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.